Operator: Good day, and welcome to the Redwood Trust First Quarter 2014 Earnings Conference Call. Today's call is being recorded.
 I would now like to turn the call over to Marty Hughes. Please go ahead, sir. 
Martin Hughes: Good afternoon, everyone. Thank you for participating in Redwood's First Quarter 2014 Earnings Call. Joining me on the call are Brett Nicholas, Redwood's President; and Chris Abate, Redwood's CFO. And they will get into some of the details when they cover the residential and commercial business activities and the financials.
 As we the handicap the developing market opportunities that lie ahead for Redwood, we remain bullish on the competitive position, strategy and long-term prospects for residential and commercial mortgage banking and investment business. We have noted repeatedly in the past that our business strategies are focused on the opportunities we see over the next several years not over the next several quarters. For those that are new to the Redwood story, our strategy was developed in response to the aftermath of the crisis, which has left the investment world awash with liquidity and searching for attractive risk adjusted yield through an increasingly cutthroat bidding competition process.
 To us, the answer was to build operating businesses, capable of creating their own investments and fee-generating opportunities, in other words, by making our own breaks. This may -- this meant building flexible and scalable loan platforms that allow us to pivot in response to the evolving residential and commercial mortgages markets. Our platforms are about 3 years old, and we are happy with the growing momentum.
 However, we understand that our near-term prospects matter to you as well, especially as we steer through industry-wide headwinds that will likely pressure our earnings for much of 2014.
 Our first quarter financial and operating results were impacted by margin pressure, but also by interest rate volatility. Chris will go through the numbers in more detail in a few minutes. But there were timing differences between quarters, and we had some market valuation adjustments, some of which are reflected in earnings and others are reflected in our balance sheet.
 From a financial standpoint, we see an overall positive as the book value increased by $0.04 a share to $15.14 after paying a $0.28 dividends per share. While this is not a perfect measure of economic creation, we believe this increase in book value cuts through some of the noise in our results by encompassing the impact of all quarterly valuation adjustments regardless of whether they were reflected in our income statement or our balance sheet.
 From an operating standpoint, we had a good -- we made good progress in the quarter despite a challenging operating environment. As managers, we look to our key operating metrics to indicate whether we are growing and enhancing Redwood franchise value. During the first quarter of 2014, we grew our residential loan purchase volume by 66% to $1.1 billion in an environment in which industry volumes were down sharply. We increased the number of active loan sellers to 124 at March 31, 2014, and we made progress in some of the big picture initiatives we discussed last quarter, including ramping up our conforming loan purchases.
 Our residential loan conduit is the industry's largest securitization sponsor having sponsored almost half of all securitization in the postcrisis period and has created over $500 million of investments for our investment portfolio at the end of the first quarter.
 Our commercial loan platform has become a leading contributor to CMBS transactions and created over $200 million of investments for our portfolio. Together, these portfolios -- platforms, sorry, have generated substantial income and investments for Redwood, income that we would not have otherwise recognized had we remained just an investor in mortgage securities available in the secondary market.
 On a final note, it is clear to us that the residential mortgage market is coming our way as private capital is called upon to help produce the government's current outside role. We believe this ultimately will happen through an expansion of private label securitization, through risk sharing arrangements with the GSEs while they're in conservative shift and eventually as after mortgage reform legislation has been enacted.
 Before I hand it off to Brett, you may have seen our recent public disclosure explaining that the 2 of us collectively sold 24,900 shares at the beginning of May. These sales were made under 10b1-5 plans, and we -- which we established back in 2013 and were made solely to satisfy our full personal income tax liability arising from the delivery of common stock to us on May 1 under long-term equity work plans. Under the applicable rules, Redwood can not withhold more than a statutory minimum, which is about 48%. This percentage is lower than our overall effective tax rate, so back in 2013, we preprogramed these sales to address the tax cap. All of the proceeds we received from these sales will go to the taxing authority.
 Now I'd like to turn it over to Brett Nicholas, Redwood's President, to discuss the residential and commercial businesses. 
Brett Nicholas: Thank you, Marty. As Marty noted, we made significant progress on a number of our key operating areas in the first quarter. Our overall residential loan purchase volume was $1.1 billion, up 66% from fourth quarter 2013. We made significant progress growing our GSE business. Our residential securities portfolio grew at a 14% annualized rate up to $1.74 billion. We issued a $347 million residential loan securitization that closed in April, and we originated $119 million of senior commercial loans in the first quarter. I will comment on each of these areas.
 In the first quarter, we acquired $794 million of jumbo loans, that's up from $642 million in the fourth quarter, which as Marty said, was counter to the industry trend of originations declining by about 25%. 
 We made good progress on our conforming product line in the first quarter. We were on what you would call a test phase during the fourth quarter 2013, and we've really started opening up in the first quarter of this year. We acquired $299 million of conforming loans from a relatively small number of sellers in the first quarter, up from $17 million during the fourth quarter. We expect conforming loan volume to increase as we transact with more of our existing and new sellers to sell as conforming loans.
 Our approved seller network continues to grow. As at the end of the first quarter, we had 124 active loan sellers. We expect the pace of new sellers to increase as we have focused our efforts on signing up counter parties we believe will be a great fit for both our conforming and jumbo product lines. The growth of our residential mortgage operated -- operation located in Denver has been successful. We now have over 50% of our employees in Denver, which gives us access to a deep mortgage finance labor pool, allows us to scale and operate efficiency -- efficiently from a cost perspective.
 In the first quarter, we completed 12 jumbo whole loan sales -- whole loan sales transactions for a total of $562 million. Our preferred distribution for jumbo loans remains securitization since we can retain attractive investments for our portfolio. As with past few quarters, whole loan sales continue to offer better execution. Unless credit spreads continue to tighten, or AAA spreads, we expect whole loan sales to make up the largest portion of Redwood's distribution of jumbo loan volume in 2014.
 Turning to the current state of private label securitization. The market improved compared to the fourth quarter. Spreads narrowed a bit, but the market remains weak particularly in comparison to other securitized markets, such as those for commercial mortgages, credit cards and autos. Redwood priced a $340 million securitization during the first quarter, which closed in early April. We expect to complete our next securitization late in the second quarter.
 In our commercial business, we originated $119 million of senior loans and we sold $65 million in the first quarter to CMBS transactions. These numbers were down from our record fourth quarter and reflect the seasonal nature of the commercial origination business.
 Competition for commercial loans has increased as there are more commercial loan originators today than there were at the peak in 2007. The increase in competition has led to lower loan sale margins, but we think and believe the business is still attractive. We recently added production personnel in New York, and we'll continue to grow our production team in other regions.
 Our investment activity was down in the first quarter, however, activity picked up in April. In the first quarter of 2014 and through April 30, 2014, we acquired $110 million of third-party securities, $24 million of Sequoia securities from Sequoia 2014-1, $8 million in mortgage servicing rights, $7 million of commercial loans, which ended up deploying $32 million of capital net of financing.
 I'd like to emphasize again that since 2010, our securitization platform has generated over $500 million of credit and other investments for our portfolio that would not have been available in the secondary markets. Our overall residential securities portfolio grew at a 14% annualized rate including valuation increases in the first quarter to $1.74 billion. Our investment portfolio provides Redwood a steady and growing source of interest income, which serves to mitigate the volatility in our mortgage banking segments, and remains a very important part of our business model.
 Finally, we have had very good momentum going into the second quarter in both our residential and commercial businesses. In our residential business, loans identified for purchase in April were up 27% over March, and were at the highest levels since last May. Our commercial business has also seen a pickup in origination activity more consistent with our expectations for 2014.
 With that, I will turn it over to Chris Abate, our CFO, to run through the numbers. 
Christopher Abate: Thank you, Brett. And good afternoon, everyone. In the face of challenging mortgage market conditions in the first quarter, which included volatile interest rates, our GAAP book value per share was $15.14 at March 31, an increase from $15.10 at December 31, 2013. The first quarter increase in book value per share reflected net positive valuation adjustments in our investment portfolio. Net of our hedges that when combined with our earnings exceeded our first quarter dividend of $0.28 per share paid to shareholders.
 Our earnings per share was $0.14 for the first quarter of 2014, down from $0.29 in the fourth quarter of 2013. The decline in our EPS is primarily attributable to negative market valuation adjustments on hedges and other interest rate sensitive investments, combined with lower loan sale profit margins generated through our residential and commercial mortgage banking activities, which combined produced a loss of $1 million in the first quarter of 2014 compared to a gain of $17 million in the fourth quarter of 2013.
 Income from residential mortgage banking activities was a loss of $2 million for the first quarter of 2014 as compared to income of $10 million for the fourth quarter of 2013. Similar to recent prior quarters, we continue to experience timing differences related to our jumbo mortgage pipeline, which we define as those loans we have identified for purchase at the end of the quarter and hedging for those loans that make it difficult to fully ascertain our quarterly operating performance from our high-level GAAP results.
 In summary, our hedge results are reflected in earnings, while the positive or negative valuation adjustments to the loans and the jumbo pipeline are neither reflected in the earnings nor equity until the loans are acquired in subsequent periods. In the review this quarter, we provide a more in-depth discussion of these timing differences, which I encourage you to read.
 After taking into account the effect of volatile interest rates and timing differences that affected our high-level GAAP results, we believe the loan sale profit margins generated by our operations during first quarter were only modestly down from the prior quarter and remain within our long-term target of 25 to 50 basis points net of hedges that we have disclosed in the past.
 Our commercial platform generated income from mortgage banking activities of $1 million in the first quarter of 2014 as compared to $7 million in the fourth quarter of 2013. As is often typical in the commercial mortgage business, our first quarter origination volume was down from a strong fourth quarter and loan sale margins were lower. We provide more details on our residential and commercial mortgage banking activities in the Redwood review.
 Turning to our portfolio activities. Our total residential securities increased by 4% or $60 million to $1.74 billion at March 31, up from $1.68 billion at December 31. We invested in net $15 million of capital in the first quarter of 2014, $10 million in residential investments and $5 million in commercial mezzanine and b-note investments, as compared to $76 million of capital invested in the fourth quarter of 2013.
 Net interest income for the company was $36 million for the first quarter of 2014, down from $38 million for the fourth quarter of 2013. After taking into account a $2 million commercial loan prepayment penalty received during the fourth quarter, our net interest income remained a steady source of earnings over the past few quarters. Included in net interest income for the first quarter was $24.7 million from our residential investment portfolio, a $1.4 million increase from the prior quarter. This increase was offset by lower net interest income from mortgage banking activities, as we held lower balances of residential and commercial loans in inventory awaiting sale or securitization in comparison to the fourth quarter of 2013.
 Turning to our cash position and our capital at March 31, 2014, our unrestricted cash was $150 million and our current investment capacity which we defined as the approximate amount of capital we have readily available for long-term investments was $110 million. We currently expect that our available capital and liquidity is sufficient to fund our business and investment objectives for most or all of 2014, in part because we believe we can source capital internally by selling or financing existing investments as higher-yielding investment opportunities arise.
 That concludes my prepared remarks and our fourth quarter financial results. Before we open it up for Q&A, I want to quickly turn the call over to our Head of Investor Relations, Mike McMahon. 
Michael McMahon: Thank you, Chris. And before we start with the Q&A, I remind you that certain information presented and certain statements made during management's presentation with respect to the future financial or business performance, strategies or expectations may constitute forward-looking statements. Forward-looking statements are based on current expectations, forecasts and assumptions that involve risks and uncertainties that could cause actual results to differ materially. Management encourages you to read the company's most recent annual report on Form 10-K filed with the SEC, which provides a description of some of the factors that could have a material impact on the company's performance and could cause actual results to differ from those that may be expressed in the forward-looking statements. This conference call contains time-sensitive information that is accurate only as of today, Monday, May 5, 2014. The company does not intend and undertakes no duty to update this information to reflect subsequent events or circumstances.
 And with that operator, we'll open it up for calls -- or questions. 
Operator: [Operator Instructions] And we'll take our first question from Daniel Furtado with Jefferies. 
Daniel Furtado: The first is regards to this secularization you just recently did. You had mentioned that the economics on that had improved from the last one you did in '13. Was that simply the tenure coming in, or was there something structural within the deal or collateral that helped improve the economics there? 
Brett Nicholas: That was -- this is Brett. That's primarily just AAA spreads had tightened from the fourth quarter. 
Daniel Furtado: Understood, okay. And then, and you had made the mention that kind of normalizing for some of this -- the noise that you see in your hedging book that you see the gain on the loan margins about the same as 4Q. Do you have an estimate for what that potential mark-to-market on those pipeline loans would have been at 3/31? 
Christopher Abate: We think, at December 31, we had a pipeline of loans that we had yet to purchase on the jumbo side. We would estimate somewhere between $4 million and $5 million of pipeline losses associated with those that we recognized in the first quarter. 
Daniel Furtado: Okay. And then my final question, if I may. I recall last question you had -- last call you had mentioned the conforming business. You had kind of aspirational volumes of getting up to $1 billion per month by the end of 2014 if I recall correctly. Is that still valid considering what's happened in the market or how should investors be thinking about that conforming side? 
Brett Nicholas: We have not changed that goal and feel like we can get there by the end of the year. 
Operator: And we'll take our next question from Steve Delaney with JMP Securities. 
Steven Delaney: I just wanted to make sure I understood the conventional numbers in the first quarter. Brett, did you mention in your remarks that the conventional purchase volume, did you say $249 million? 
Brett Nicholas: Sorry, Steve, it's $299 million, just under $300 million. 
Steven Delaney: $299 million, okay. Well, that would put you, I guess, at about, what, purchase but -- let's see. I apologize, Brett. So $299 million, call it $300 million and you sold $160 million, correct? So that would suggest to us that you have $140 million or something on the books at the end. And then, I noticed you had $155 million in the total loans identified for purchase. So just trying to see kind of which you were carrying over, which you had already identified for purchase, and that looks like about $300 million. So my gosh, it seems to me you're at least going to double your conforming business in the second quarter. Is there a chance it could be as much as 3x what it was in the first quarter? 
Christopher Abate: We're not prepared to forecast at this point, but we can say we've been pleased with the ramp. Obviously, a big component of our Denver expansion has been to build the efficiencies we need to scale conforming, and we're starting to see that. I'd say the conforming volume was more back end as far as the first quarter than front end. So we like the trajectory. We like where we're at heading into the last month of Q2. 
Steven Delaney: That's helpful, Chris, appreciate that. And then back to the 2014-1 deal, as far as the differences, as Danny was talking about, one thing we noted was that the credit enhancement was down below 7% or slightly 6.95%. And the deals later last year were 7.25%, 8%, 8.35%. Do you -- is that a function of who the rating agencies were? Do you think that is a sign that maybe CE is headed lower? 
Martin Hughes: Yes, I think, Steve, it's really a function of the collateral and the collateral mix to the extent that you have more 15-year in there and you're going to have less credit enhancements. So it really depends deal by deal. I would say overall levels are pretty much the same place they were towards the end of last year. 
Steven Delaney: Right. You even had some 10-year ARMs I think there as well? Okay. And then lastly, Marty, you guys are carrying a lot of whole loans both resi and commercial whole loans, and you've got -- when you do your securitizations, you've got some retained investment grade RMBS. So I'm just curious, if you plan to have any conversations with the Federal Home Loan Bank about possibly becoming a member and taking advantage of their advanced program for any of that type of collateral? 
Martin Hughes: Yes. We had indicated before that we're exploring the opportunity to join the Federal Home Loan Bank System. We believe that becoming a member of that system would be actually win for the community banks, as well as it would be for us. Through the loan platform we have, we could provide an outlet for loan sales by members of that system providing mortgage liquidity, which is really in step with the system's mission and purpose, and at the same time, it could provide us with another source of long-term, low-cost funding. To this end, we have taken definitive steps towards membership, including establishing a captive insurance subsidy, and we will plan to update everybody on next quarter's call as the process moves forward. 
Operator: Our next question comes from Paul Miller with FBR Capital Markets. 
Paul Miller: Going back to the comments you made about the market being very tight and that capacity has to adjust through the current environment, are -- the question is, does that mean that we should expect this type of earnings for the next couple of quarters until the market straightens itself out? I know you have long-term opportunities, but in the short term, in the next couple of quarters, how are we supposed to look at this? 
Martin Hughes: Well, we don't do earnings projections. But I will say to us, this looks like a pretty much a garden-style correction, where capacity in the industry has to come in line with existing lives. It's moved a little quicker than it has in the past. And my guess is margins will stay under pressure probably for the next 6 to maybe 9 months until it gets rightsized. 
Christopher Abate: Yes, I will add, Paul, that we've experienced a lot of earnings volatility as a result of movements in interest rates and timing with our pipeline. That's something that's really tough to predict. So we tried to isolate that as much as we quote in the review. But we do have significant P&L volatility coming from interest rates, and that's something we're going to have to manage going forward. 
Paul Miller: And then the MSRs. Do you hold the MSRs in the REIT? Are you planning to hold the MSRs in the REIT? And you mentioned in the release today that you're looking to buy some MSRs on the open market? 
Christopher Abate: Yes, we currently don't hold them at the REIT, but a driving factor there is we don't believe we've achieved scale to want to bifurcate them per se. So we'll just continue to hold them at the taxable subsidiaries. 
Paul Miller: You have no plans at all to put them in the REIT at all just because of the scale? 
Christopher Abate: No current plans. From a tax prospective, there is a difference between creating MSR or purchasing MSR. So to the extent that we're purchasing a significant amount of MSR through -- in the open market, our view in that might change. But currently, we're happy with where we hold them. 
Operator: Our next question comes from Bose George with KBW. 
Bose George: Just to follow up on that MSR question. Have you guys seen returns in terms of purchased MSRs that are at reasonable levels, or is it creating -- is it a lot more compelling to just create them at the moment? 
Christopher Abate: Well, we -- I think both are compelling. We have seen reasonable returns. We still think these -- that MSRs were multiples are at -- are attractive, not as attractive as 3 or 4 quarters ago. But to the extent we see opportunities, we'll continue to show interest. And to the extent that we're acquiring loans through the platform and we can create MSR that's obviously very attractive as well. 
Brett Nicholas: Yes, Bose, everything being equal, we'd much prefer to acquire MSRs just through our ongoing Correspondent operation. But we will look at bulk and bifurcated programs absolutely. 
Bose George: Okay, great. And then switching to the -- on the last call, you guys had talked a little bit about the GSE risk-sharing transactions. I'm just curious, I mean, are they developing at the pace you guys expected in 2014? And you also noted that you thought you could see them happening on a slow basis this year. I mean, do you still think that's the case? 
Brett Nicholas: Well, we believe they will continue to -- both Fannie and Freddie issued Capital Markets transactions. And then there are numerous other efforts going on that are really -- they're just in concept phase right now. So what we feel is we're doing business with both companies. And that's -- as long as we're focused there and it's -- there can be an opportunity to establish different types of transactions related to risk transfer. 
Bose George: Okay. Then just actually one last one. The improvements in residential volumes you guys saw in April, do you think it's just the market, or do you feel like you -- there was a shift in shares while you guys continue to take share in April? 
Brett Nicholas: It's a little bit of rates, but a lot of it is our pull-through with existing and new customers. We did not do a business -- conforming business with many counter parties in the fourth quarter last year. We've increased that significantly, and that's where a lot of this is coming through. And also, pull through with existing jumbo sellers. 
Operator: We'll take our next question from Matthew Howlett with UBS. 
Matthew Howlett: Just to get back to the timing difference. Is there a more way to quantify the timing difference in terms of the loans you identified for purchase that you marked the hedges down but didn't mark the gain on that you'll sell in the subsequent quarters? Is there just more of a way to quantify it? 
Christopher Abate: Yes. There's -- we've really tried to do the best we can with the review disclosures. The issue is that if we try to quantify it, we're not sure which loans we're going to end up buying from a pull-through standpoint. We're not sure when will be sold and at what levels. We do have a little bit more clarity with loans that were in the pipeline in December 31, where we actually executed. That was the $4 million to $5 million I had talked about earlier. But looking out at March 31, it's really difficult to venture a guess just given the uncertainty around when the loans might actually be purchased and sold. 
Matthew Howlett: Got you. But overall the loan sales where in the sort of your 25 to 50 basis point range for the quarter, that sort of -- is that the best way to look at it on a normalized mortgage banking quarter? 
Christopher Abate: Yes. So we made that statement to try and cut through the noise. There's just so many moving parts, much of which has to do with the accounting that will require to apply around derivatives and commitments or lack there off. So what we try and do is normalize it, not look at it so much on a quarter by quarter cutoff, but over time. And we feel pretty confident that in Q1, ultimately, with what we pulled through from Q4 and what we eventually sell will be in that 25 to 50 basis point range. 
Matthew Howlett: Will that include the securitization that you'd -- that's going to close in April? 
Christopher Abate: Yes. I mean, that to us is just another form of distribution [indiscernible] form or securitized, we'll look at the margins. 
Matthew Howlett: Got you. On the investment portfolio, I noticed that the decline in yields on the senior RMBS, I know that went up $150 million or so and I guess, repurchases on those yields have come down. So obviously, as you add it to the portfolio, it's going to drive down the yield. I mean, is there any -- what can we expect on that sort of part of the book? I mean, do you still view that as none-core to Redwood that over time, you'll basically make room for the self-created securities in terms of the subordinate b pieces? 
Christopher Abate: Yes. I mean, we're still opportunistic in the secondary market looking at senior securities, legacy senior securities. Yes, I mean, yields have definitely tightened over time. But there's still attractive financing for those bonds. I think we're really pleased with the senior portfolio and the cash flows we've generated, like the portfolio, and it is -- we do expect it to run off over time, and we're hopeful that we can over time replace it with securities that we've created or bought. 
Matthew Howlett: Great. And the last question, the subordinate securities. I know you guys broke out the yields on those versus the mezzanine. So that sounds very helpful. That does not include the 2014 transaction? 
Christopher Abate: Not at the end of Q1, no. 
Operator: Our next question comes from Ryan Zacharia with JAM. 
Ryan Zacharia: Can you just give us a sense as to the gain on sale differential between the conforming business and the jumbo business? 
Christopher Abate: Again, it's tough right now. And I think our hesitation comes from we're still ramping and conforming. So when we look at our margins and we look at expenses in the buildout, we're still in the process of implementing a number of sellers. But today, we still -- on both sides of the business, we still think we're operating probably closer to that 25 basis point number. But I think with conforming, as we sort of finish the buildout and increase efficiencies, we think we'll be pretty competitive. 
Ryan Zacharia: And the guys that you're buying from on the conforming side, do they have other conforming correspondent relationships already? I mean, what's the volume gain attributable to? I view this business as largely about price. So can you give me a sense us to why they are selling to you if they have pre-existing relationships? 
Christopher Abate: Well, we got this question -- we've gotten it before, and I would say on the jumbo side, we got it a year ago, and I think a lot of it has to do with service. Obviously, we need to be competitive on price. On the conforming side, our goal is efficiency. Jumbo is much more high touch on a loan-by-loan basis. And the confirming side, as you said, we need to be able to compete on price and service. And I think that what we're seeing with the existing sellers is they like our service and they're -- at this point, we're happy with the growth. 
Brett Nicholas: Yes, and just to add to it, any prudent secondary marketing manager for a mortgage company wants multiple outlets. And we can provide that one-stop. We're a big jumbo player, and we can add conforming products, and it's that same seamless service. 
Ryan Zacharia: And there's no kind of push back on the fact that you, I think at this point in time can't do government loan? 
Brett Nicholas: No. They're 2 completely different businesses. 
Ryan Zacharia: And then just -- can you refresh my memory from the accounting side. Some of your brethren who are in the correspondent business try and reduce the timing mismatch of revenues and hedging losses by booking revenues on the basis of adjusted locks. Can you give me a sense as to why your accounting doesn't allow for that? 
Christopher Abate: Well, it really comes down to the specific contracts with our sellers. I would say on the confirming side, we don't anticipate having these timing differences because the nature of the agreements is such that they're pretty plain vanilla as the conforming market is very established. The jumbo correspondent market is not as liquid. There's not as many participants, and the collateral can look very different. So for those reasons, factoring in these specific agreements we have with our sellers, we have accounting that we need to apply that we work on with our auditors. And I think at this point, we would all like to change it and perhaps over time, we'll be able to. But I don't think that we have many options at this point. 
Operator: And our last question comes from Steve Delaney with JMP Securities. 
Steven Delaney: Yes, forgive me, but just a quick follow-up. You reported 1 -- well not 1, but you reported commercial real estate loan sales of $65 million in the first quarter. And we've been tracking this data that Commercial Mortgage Alert puts out for the sellers into the various CMBS conduits, and they reported that you sold into a JPMorgan deal and a Goldman Sachs deal. And the total, it looked like, contributed loans was $169 million. Is there some timing issues going on here between when you treat loans as sold and when they're being reported by Commercial Mortgage Alert in the CMBS transactions? 
Christopher Abate: Steve, it's not so much timing. It's just to clarify, there is some accounting issues going as well. So we stated that we sold $65 million. We transferred $100 million, $65 million of which was accounted for sales. We ran into a consolidation issue with certain senior loans that we -- where we retained b-notes. So we tried to talk a little bit about that later in the review. I think that number you're looking at may also include some sales that happened post quarter end in April. 
Steven Delaney: There was one transaction dated 3/28 that probably did roll over, yes. 
Christopher Abate: Yes, so I think when you factor in that rolling over, and then the $65 million was more like a $100 million as far as what left Redwood. 
Steven Delaney: I see, so $65 million. You did an AB structure and sold the A note? 
Christopher Abate: $65 million was sold outright, and then $35 million relates to the AB structure that we ended up consolidating. 
Operator: And that does conclude our question-and-answer session for today. I'll turn the call back over to Mr. Mike McMahon. Please go ahead. 
Michael McMahon: Yes, thank you, everyone, for participating in our first quarter conference call. This concludes the call. If anyone has any questions, you can reach out to me after this call for further follow-up. Thank you very much. 
Operator: Thank you for your participation. This does conclude today's call.